Operator: Thank you for standing by. My name is Demin [ph] and I will be your conference operator today. At this time, I would like to welcome everyone to the Black Stone Minerals First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Mark Meaux, Director of Finance. Please go ahead.
Mark Meaux: Thank you, operator. Good morning to everyone. Thank you for joining us either by phone or online for Black Stone Minerals' first quarter 2025 earnings conference call. Today's call is being recorded and will be available on our website along with the earnings release, which was issued last night. Before we start, I'd like to advise you that we will be making forward-looking statements during this call about our plans, expectations, and assumptions regarding our future performance. These statements involve risks that may cause our actual results to differ materially from the results expressed or implied in our forward-looking statements. For a discussion of these risks, you should refer to the cautionary information about forward-looking statements in our press release from yesterday and the Risk Factors section of our 2024 10-K. We may refer to certain non-GAAP financial measures that we believe are useful in evaluating our performance. Reconciliation of these measures to the most directly comparable GAAP measure and other information about these non-GAAP metrics are described in our earnings press release from yesterday, which can be found on our website at www.blackstoneminerals.com. Joining me on the call from the company are Taylor DeWalch, Senior Vice President, Chief Financial Officer and Treasurer; Carrie Clark, Senior Vice President, Chief Commercial Officer; Steve Putman, Senior Vice President and General Counsel; and Fowler Carter, Senior Vice President, Corporate Development. I'll now turn the call over to Taylor.
Taylor DeWalch: Thanks, Mark. Good morning to everyone on the call, and thank you for joining us today to discuss our first quarter 2025 results. Tom wishes he could join us this morning, but due to a prior family commitment, he's not able to be on the call today. We had another solid quarter, and we'll be maintaining our quarterly distribution of $0.375 per unit despite the recent volatility in commodity prices and shifting global market dynamics. We continue to closely monitor activity levels across all of our assets, and we are encouraged by the strength in natural gas prices to drive additional near-term gas-weighted activity. As mentioned in the press release, we also expect to continue to benefit from near-term development activity and production on certain high interest acreage in both oil and gas regions. Mineral and royalty production was 34,200 BOE per day in the first quarter and total production volumes were 35,500 BOE per day, both of which are about in line with the previous quarter. Net income was $15.9 million for the first quarter with adjusted EBITDA of $82.2 million. As mentioned, we maintained our distribution for the quarter and $1.50 on an annualized basis. Distributable cash flow for the quarter was $73.7 million, which represents 0.93 times coverage for the quarter. The slightly lower level of coverage was largely driven by a seismic license purchase that complements our robust subsurface evaluation of the expanded Shelby Trough area. Overall, given our strong financial position, asset outlook and the unique nature of the seismic purchase, the Board approved maintaining our quarterly distribution for the quarter. However, we are always closely monitoring the commodity environment and activity trends across our portfolio and the near-term implications these trends imply for our business. In East Texas, we continue to work with multiple operators to promote development on our Shelby Trough acreage. Currently, Aethon is operating 3 rigs on the company's acreage and has already turned to sales 11 gross wells in 2025, with another 17 expected for the remainder of the year. EXCO has also been active on the Shelby Trough acreage during the quarter, running 1 rig and drilling 2 high interest wells. In addition, BSM continues to benefit from the accelerated drilling agreements in the Louisiana Haynesville with 2 incremental high-interest wells turned to sales in March. This brings the total ADA wells in Louisiana Haynesville to 4, while we continue to monitor the other wells in progress. As a reminder, under these agreements, the operators will provide near-term certainty and accelerated development of BSM's high interest areas in exchange for a slightly reduced royalty burden. In our Permian position, we continue tracking activity across our acreage, including the previously mentioned large development in Culberson County. This development includes more than 35 gross wells on BSM acreage. Notably, 24 of these wells have been spud to date, and we anticipate 9 gross wells to turn to sales in the fourth quarter of 2025. We also continue to monitor several incremental large-scale development projects across our Permian portfolio. Again, we had a solid quarter and remain confident in the long-term strategy and outlook across our assets and our ability to generate long-term value for our shareholders. With that, I would like to open the call for questions.
Operator: Thank you.[Operator Instructions] And your first question comes from the line of John Annis with Texas Capital. Your line is open.
John Annis: Good morning all and thanks for taking my questions. For my first one, building off of your prepared remarks, I wanted to ask if you could share what you are seeing in terms of activity in the Haynesville, just given the rerate in natural gas prices. And then as it relates to Aethon, could you give a sense of any visibility you have into their cadence of completing the remaining 17 gross wells in 2025?
Taylor DeWalch: Hi, John, this is Taylor. I appreciate the questions. Yes, I think when we look at the Haynesville activity; we're certainly encouraged by the continued strength in natural gas prices and looking forward to continued increase in activity levels across the basin when we specifically look at some of the high interest development that we've called out. We continue to be encouraged that the majority of those are going to continue to happen this year. And I think speaking specifically to Aethon and your second question, we continue to track on schedule with our completions for those 17 wells throughout the remainder of this year, and just look forward to the ongoing development, both from Aethon and other operators in that area.
John Annis: Terrific color. For my follow-up, shifting over to acquisition activity. You have been active in acquiring over $160 million in minerals since September 2023, as you guys have noted, and continue to target the Shelby Trough, my question is, how do you view the current opportunity set? And does the decrease in oil prices make acquisitions in oilier basins potentially an attractive countercyclical opportunity, or do you continue to focus on the Shelby Trough?
Taylor DeWalch: Thanks. That's a good question. We've been, as you mentioned, very active in our acquisitions and really see a lot of opportunity for long-term growth that ties into just long-term natural gas strategy, especially with our beneficial location of those acquisitions and their proximity to the Gulf Coast in that demand center. I think as we look at our ongoing acquisition strategy, we continue to look across the market as it makes sense and as it fits our strategy and our portfolio, so there may be opportunities that we will continue to evaluate and look at but as of right now, and as we have been historically looking over the last couple of years, certainly focused in one area.
John Annis: That’s it for me. I appreciate the time.
Taylor DeWalch: Thanks, John.
Operator: [Operator Instructions] And that concludes our question-and-answer session. I'll hand the call back over to Taylor for any closing remarks.
Taylor DeWalch: Thank you, operator, and thank you all for calling in to our call this morning, and we look forward to talking again next quarter.
Operator: This concludes today's conference call. Thank you all for joining, and you may now disconnect.